Operator: Good day, ladies and gentlemen. Welcome to TomTom's First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's prepared remarks. [Operator Instructions] Please note that, this conference is being recorded. I will now turn the call over to your host for today's conference, Megan Daniell, Investor Relations Officer. You may begin.
Megan Daniell: Thank you, operator. Good afternoon, and welcome to our conference call, during which we will discuss our operational and financial highlights for the first quarter of 2021. With me today are Harold Goddijn, our CEO; and Taco Titulaer, our CFO. We will start today's call with Harold, who will discuss the key operational developments followed by a more detailed look at the financial results and outlook from Taco. We will then take your questions. As usual, I'd like to point out that safe harbor applies. And with that Harold, I would like to hand it over to you.
Harold Goddijn: Well thank you Megan, and welcome ladies and gentlemen, thank you for joining us today. I will briefly go over the key operational highlights for the quarter after which Taco will provide future information with financial as well as the financial outlook for the year. We had a positive start to the year and we showed solid progress and positive developments in attracting new customers. We launched TomTom Navigation for Automotive which is our next-generation cloud-native but also full hybrid navigation solution. It’s a unique product that lives mostly in the cloud but also provides for an on-board roadmap, which makes for a reliable user experience under all conditions also when a data connection is unavailable. With this release, we're bringing the user experience to a new level. And we are simplifying our operations. There's extensive support for electrical vehicle functionality, and a new system offers flexible delivery through easy-to-use SDKs and APIs that can be easily integrated in any in-vehicle infotainment system. The product will be deployed by multiple leading car makers. The Mitsubishi Outlander showcases the new Mitsubishi new MI-PILOT which incorporates full TomTom ADAS Map, specifically the information road curvature and speed limits. This information allows the cars ADAS function to proactively adapt the vehicle speed, improving both drivers' safety and comfort We made progress in expanding our geographic database, which now includes 450,000 charging points and this enhances our offering for the fast-growing EV market. Using this information, we can now deploy routing technology that can optimize your route to save energy and guide EV drivers to compatible variable charging stations within reachable range. And this will reduce travel time and reduce range anxiety. In the Enterprise segment, we closed new contracts and expanded our reach in both fleet, logistics and on-demand mobility segments. We enjoy a significant increase in the use of our Maps API's. Progress is particularly relevant when you look at the market opportunities we’re targeting on the next slide. We see location becoming an essential part of an ever-growing number of applications by some estimates, to -- percent of all applications have a location element. Whilst our roots are in vehicle based applications, which is technically the most demanding application was either to roll the future to enable a much broader set of customer requirements. We have early success in the enterprise sector. We have managed to build a long list of AAA customers rely on our content and technologies to bring location to their applications and platforms. We have very talented technical team at work to improve the geographical coverage, attribution and freshness of our database on the one hand, and build leading services like applications API's nasty case on top of the data. We see significant opportunity to accelerate those great varieties by using new sources, and designing highly automated processes for quality control data ingestion, which eventually lead to a much richer database that we can build and maintain at lower cost. As a result, we are building a rich set of products that offer our customers a powerful platform, the tools, but also the freedom to innovate while staying in control of customer and application data. This concludes my part of the presentation. Thank you for your attention. I'm handing over to Taco.
Taco Titulaer: Thank you, Harold. I will make some comments on the financials and outlook and then we'll go to the Q&A. First quarter, we reported group revenue of €131 million. Location technology reported revenue of €105 million, a year-on-year increase a 15%. Increase was offset by lower revenue from consumer. Let me go through the revenue business-by-business. Automotive IFRS revenue was €63 million, an increase of 26% compared with the same quarter last year. The strong year-on-year increase in IFRS revenue is because of low comparative quarter. Q1 2020 included revisions to the estimated total contract sales some contracts to account for the impact of COVID-19. Automotive operational revenue was €74 million in a quarter, a decrease of 8% year-on-year, mainly because of lower car production volumes. Automotive operation revenue is directly related to car production volumes. Enterprise revenue increased by 2% from the same quarter last year reflecting increased revenue from existing customers. In the first quarter, consumer revenue decreased by 34% to €26 million reflecting decreased demand as locked down across Europe continued. In the first quarter, gross margin was 81% in line with expectations and reflects low hardware revenue in our sales mix  OpEx were €121 million, a decrease of €60 million compared with the same quarter last year. The decrease is mainly because lower amortization as the Tele Atlas databases, acquired in 2008, were fully amortized in 2020. Excluding the impact of depreciation and amortization underlying OpEx showed a year-on-year decrease of around 8% as a result of cautiously managing costs. The increased gross margin and low OpEx resulted in a positive EBITDA margin of 6% and an improvement of 10 percentage points year-over-year. The free cash flow for quarter was an outflow €4 million a decline of €18 million compared to the same quarter last year. There are three main reasons for the year-on-year decline. The first is less cash collections in the quarter because of lower opening trades receivable balance when compared with the opening balance in Q1 2020. Secondly, we have a low operational gross profit in the quarter. Finally, these decreases were partially offset by lower variable personnel expenses in the quarter. We reported a net cash position of €352 million at the end of the quarter. Net cash decrease as a result of lower free cash flow and because of purchases of shares made under the share buyback program. During the quarter, we purchased over 2 million shares for a total consideration of €17 million. The program has a remaining repurchase amount of €16 million, which we expect to complete in the second quarter. On the last slide, the outlook 2021. We are reiterating our full year outlook. For 2021, we expect group revenue to be between €520 million and €570 million, a location technology revenue between €420 million and €450 million. We will continue to see year-on-year declines in our OpEx driven by the decline of total D&A from €285 million in 2020 to between €70 million and €75 million in 2021. Excluding D&A, our R&D OpEx is expected to grow to around €330 million for the full year. We started the year with a cash outflow there are some scenes fidelity in our cash flow, which is weighted to the second half of the year, particularly the last quarter of the year. This due to the timing of certain customer payments. We are reiterating our guidance to generate free cash flow of around 6% of group revenue for the year. Operator, we would now like to start the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Marc Hesselink from ING. Please ask your question.
Marc Hesselink: Yes, thank you. Three questions. Firstly, the enterprise client that you won over the quarter. Could you explain a bit more like why did you want this contract and also being the alternative to Google or was there anything in particular why you were chosen for this one? Second question is the launch around the TomTom Navigation for Automotive? How will this run in your in your business? How many clients are already taking this? And how do you expect it to evolve over the over the coming years? And the third question, the semi shortage in the automotive chain, you're being paid when the car is being produced. So how is this impacting you and do you see it yourself? Or is this more something that you see in the sector and you expect it to add value as well but you're not receiving it yourself? Thank you.
Harold Goddijn: Yes, Marc thank you. Yes, so the customer net press sector we’re referring to is in the mobility on monitor sector, can’t disclose the name, but in mobility on demand it's very important that you have control over your core technology to allocate drivers to cars and passengers and whatnot. Those are hard mathematical problems; you need to have a good tool set and good data to tackle that. And those companies typically spent an awful lot of time and effort and the energy on optimizing those algorithms, because they do have a direct effect on service levels, customer perception, and so on and so forth. So we can provide those companies with the tools they need to build those services and to optimize their operations. And the tools we're providing is of course, the maps and navigation as the resources speak profiles, traffic information, routing algorithms, peerwise and so on and so forth. And that is, and that is combination of those data and tools is what we believed pull this particular customer over the line into the TomTom family. Second question about automotive navigation. So, fairly unique. We, we are now according to our own estimate, the largest vendor of software in vehicles. And we have built ofcourse, it's our heritage. We have invented the category at the time navigation category, we build on our heritage. This is the last iteration, which provides a hard problem, we solve a hard problem for carmakers, and that is availability. So everybody wants to go online, that's fine. What do you do when an online connection is not available? And that can happen when the car is out of reach in a parking garage, or in areas where there is no mobile phone coverage whatsoever, then you still want that car to to work properly. And this hybrid solution offers a very elegant solution to this problem. And we're very happy that two of our customers have decided to move through this next generation for future implementation. Last question, if I understood it correctly, Marc is our added chip silicon shortages in the automotive supply chain effectors. Is that is that the correct implication of your question? 
Marc Hesselink: Yes. If you're actually seeing that, yes.
Harold Goddijn: Yes, so we have seen it’s anecdotal. We don't have heart numbers. We but we have seen reduced demand and shortages compared to the original plans from our OEM customers, as a result of two effects, combined effect of a pandemic, that is that is there for longer and more severe than we had originally anticipated beginning of the year. But also chip shortages. How exactly, how big the problem is. It’s not that easy to distill. It's anecdotal call. We know it's happening. But we don't know how severe the effect is. But yes, it did have a negative impact on the number of cars that were produced during the quarter.
Marc Hesselink: Quickly, maybe a short follow up on the navigation for automobiles to clients using it. How do you expect this to run for other clients and given them a superior solution? We expect quick adoption by those clients.
Harold Goddijn: Yes, typically, typically, carmakers will go for the latest and greatest. So, I see good future, this this for this line. The early signup by customers are referred to will help us also of course, to harden, report sheet operating in the wild, which will help both from a quality design development perspective as well as credibility perspective. So I see a good future and I expect that over time, this line over in our navigation portfolio will overtake all our other products in the automotive space, how long they will take is less certain. There is in Russia, you know as well as I know that design cycles are notoriously long in the automotive world, but definitely yes, over time, this will overtake everything else that we're doing.
Marc Hesselink: Okay. Thank you.
Harold Goddijn: You’re welcome.
Operator: Your next question comes from the line of François Bouvignies from UBS. Please ask your question.
François Bouvignies: Hi, thank you very much. My first question was a follow up actually on the navigation for automotive and cloud native solution. So, how does the price and, how do you sell this product, in terms of business model would be very interesting to know, how the value is compared to the old, product? And, and maybe, how do you price that to the customer would be very helpful to understand. The second question is on the automotive market, we are post in a pandemic, or awfully post pandemic area. So, I was wondering how you see the market in terms of deals available, for the, for the market as a whole from a qualitative perspective. And how you see your position there, because we see a lot of like, we talk every quarter, the newcomers, and especially Google, do you see them? You're getting some, market share over you in the in the near future at the moment as we speak. So, that's my second question. And the last one, I will I will ask after maybe, if you don't mind.
Harold Goddijn: I’m making a quick note of it François
François Bouvignies: Yes, sorry.
Harold Goddijn: Yes. Pricing, let's start there. So, we have a lot of customers with all products in the automotive industry. Not every client is taking the full stack of what we're doing. Some customers take traffic information, other customers take maps, and other customers take a whole full stack, which is combination of software services, content, integration services where needed. And I think part of strategy is to include and stack those services and as part of a full stack navigation product, which we can for which we can command better, better prices and for which we have better pricing power. So as a result of the success of this version of our software, we hope that we can convince more of our clients to go full stack for the TomTom Solution. And that will have a positive effect on unit price. So value per car shipped, which is a good thing. If I look at the overall type of money that's available for full stack solution, I don't expect the total value to go up significantly. I think that has been stable for quite some time, what I've said and what we see, again, is that the overall price is relatively stable, but we need to throw in more stuff in order to justify that price. So there's a constant battle to deliver more services, better user experience. And in return, we see good, good ability to hold on to pricing and price about. So I think that's the way to look at it. But a good product and a good software product which delivers a good user experience is the most important thing we can achieve in order to improve pricing power. And we see positive results of this move to full hybrid and full stack.
François Bouvignies: And Harold, just if I may, I mean how much is full stack I mean, of your products. I mean can you give any numbers around that to get an idea of, maybe what the opportunity is in terms of percentage of your customers today, I mean, could be in value or units, whatever you have would be helpful to know.
Harold Goddijn: I don't have that. But I can definitely have a look if that stock information we can make available. I don't know, to be honest. I have a number in my head, I think I kind of, but I can't disclose it at this stage. We -- I need to have a look at that.
François Bouvignies: Okay…
Harold Goddijn: But it's definitely true that not all of our clients are taken to full stack. Just to give you an example, we have in traffic information Europe about 80% market share. In North America, we have about 14% market share in the automotive sector, there's more much more market share than we have in full stack solutions.
François Bouvignies: Okay. That’s clear.
Harold Goddijn: All right. Yes, post and that. Are we post pandemic? I really don't know. To be honest, I wouldn't be started the year, I had hoped that we would be post pandemic, now. We're not. And I think the general expectation is that that will happen before the summer. But I'm not going to bet the shop on that, to be honest. And we still see negative impact for our business on the results of the pandemic. I think for the workforce, it's starting to be difficult. I think we go through it really well. And our people showed a lot of resilience. And engagement has been extraordinary, and collaboration has been really good. But now I think we are entering a period where it starts to get less cool to work from home. I think we need now to go and prepare for a period where we start seeing each other where we have a free flow of ideas, exchange of information, where we start seeing customers, and so on, so forth. So I really hope that it's that in a couple of months from now we can we can see that happening. That's important. It's important that we get more detail and what our customers are thinking and doing and how they're planning. And it's important also, that car sales will go up. I think there is pent up demand, I think we can see strong recovery when everything is back to normal. And I can't wait for that moment to happen. But we're not in that period yet.
François Bouvignies: And in terms of deals available. I mean, and your position in terms of winning, right, in a way.
Harold Goddijn: Difficult to say I'm always careful, I don't want to speculate it’s lumpy, you win or you lose. You never know. If I look at the overall opportunity this year, I think there's significant amount of business available. I think we're well positioned. But I prefer to give you information on our win rate. When you know when the deal is done, we’re won or lost. But it's not a good way to get the business on. Of course to quarter which deals you win that's just not the nature of the work we're doing. So I think I feel comfortable giving regular updates about the overall product, order backlog and what and whatnot. But it's much harder to give you a steer our on our ability to win those deals. There's enough around this year, that's not the problem. We're working hard. We’re firing on all cylinders. I think we build a good reputation for product for service for it for being a reliable partner to our automotive customers, as well as to our enterprise customers. And I think that when it comes to nominations, all those things will, will play in favor. But we can only do that when we've actually won the nomination.
François Bouvignies: Okay, that's very clear. And maybe if I can squeeze the one last one is asked you this question last year if I remember correctly, it's around enterprise. And, in the last two years, you have been very active, I would say, maybe more than people expected, maybe yourself because you compete, obviously, much more with Google in this market than in automotive. And, you have been winning few deals, recently in the last two years, and you are not spared the more with this new mobility demand, customers that you can disclose. So, I'm going to ask you some question really? Do you see any structural change in the last two years; it seems that the business is accelerating for you. So just trying to understand, what is behind that? First if it's true, if you feel that way, as well? And second of all why is that, is it because of TomTom product? Is it because of Google, anything you can share would be helpful about your insight? And I will stop here. Thank you very much.
Harold Goddijn: Yes, sure François. Look, look, location is terribly important. And it's becoming more and more important. And, and there's a lot of applications and services that we in one way or another depending on application, location. And, and that's all going to stop. Now, of course, Google is formidable, competitor with a distinct business model, which makes it hard to compete. But where we can compete significantly where we can make a real difference is in two areas. First of all, we are providing a much more flexible service. If you want Google services, you -- you need to take our API's. And that's what it is, and you can't do anything. For a lot of companies, that's just not good enough. They need a lot more flexibility, what we call, they need freedom to be able to innovate. And they need to be in control because they're often, we're part of primary processes that have a direct impact on customer experience operational efficiency, and profit as a result. So you need that level, you need to be able to offer that, that level of flexibility. And the second thing where we have a distinct business model is that we don't care for application data or customer data. We love competing, we're not using that information to compete or gain market insight to compete at a later stage. And that gives us peace of mind. And that allows us to do to strike deals and have relationship with our customers that that are difficult to develop, if there's always a hidden agenda, or the possibility for a hidden agenda. So those are two big parts of where we can differentiate and how we can compete. And this third element is that we, we want to build a much better product and I think we can. It was all happening in underlying technology and cloud technology, computer vision, in availability of all sorts of sources that we can use to build a maintain that map deeper collaboration with our customers who are willing to share their data with us at a platform level. And, and want us to offer an alternative to the companies we just mentioned. So our ability to process data, get, get a handle on that information that's increasingly available, harmonize it, standardize it do the quality control. Deploy those new technologies that will make it easier to collect data from vehicles from smartphones, and so on, so forth. The combination of that should take us into a world where mapmaking becomes a more automated process. We have achieved a high degree of automation, but it's mostly automation of manual tasks. And we are going into an area where it's the other way around. We were -- there so much data and sources available that can be integrated that really asked for a rethink of how we put data together in the database and that should help us to build a database that's richer in content fresher, that covers more geographies. And that kind as a consequence going to be used for a lot more applications than we can serve today. That is where we are working on. And I'm happy with the progress we're making.
François Bouvignies: Great, thank you, Harold.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of [Indiscernible]. Please ask your question.
Unidentified Analyst: Hi, it’s Ann Lee Bakers [ph] from ABN AMRO bank, I'm calling on behalf of Wim Gille, who cannot make it today. Apologies for that. And I just looked at the results. And I think also from previous discussions, you have a very strong balance sheet, sort of what does your ideal balance sheet looks like? And more over also, in terms of, the expected costs in a post COVID world, how would you see sort of your expenses before in the coming year, year, one and a half years ahead? Thank you.
Taco Titulaer: Yes, thank you. There on the balance sheet, yes, we're in the middle of a buyback program, of which two thirds has been completed and one third is still to go. We'll take stock after that has happened. But there are no immediate plans after that. So well, there's our ideal balance sheet, we're quite comfortable with the situation that we're in now. And again, we don't have any immediate plans to launch another buyback or scheduled dividends or anything like that. On the cost structure, and at the like-for-like you see material decline, compared to last year that is very much related to the fact that last year we were not in the pandemic phase over at least two thirds of this quarter, we were still in the clear. And there were quite a little bit of marketing and travel and other things going on. So that is that. That explains the reason why OpEx was low in the first quarter. As Harold already explained, while on things some of the other questions is that as a company, we will start to ease policies around marketing activities and travel etcetera. So we expect the in the coming period that the cost will go back to more normal. And that will start to have an effect as of Q2, but everything in line with our previously made expectation on my cash generation and our free cashful yields.
Megan Daniell: Great. So if there's no further questions, I would like to thank you all for joining us this afternoon. And operator you may close the call.
Operator: Thank you. This concludes today's presentation. Thank you for participating. You may now disconnect.